Operator: Good morning. My name is Eileen and I will be your conference operator today. At this time, I would like to welcome everyone to the Novanta Incorporated's 2019 Fourth Quarter and Full Year Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please note this event is being recorded. I would like to turn the conference over to Ray Nash, Corporate Finance Leader for Novanta. Please go ahead.
Ray Nash: Thank you very much. Good morning and welcome to Novanta's fourth quarter and full year 2019 earnings conference call. I am Ray Nash, Corporate Finance Leader of Novanta. With me on today's call is our Chief Executive Officer, Matthijs Glastra; and our Chief Financial Officer, Robert Buckley. If you have not received a copy of our earnings press release issued today, you may obtain it from the Investor Relations section of our website at www.novanta.com. Please note this call is being webcast live and will be archived on our website shortly after the call. Before we begin, we need to remind everyone of the Safe Harbor for forward-looking statements that we've outlined in our earnings press release issued earlier today and also those in our SEC filings. We may make some comments today both in our prepared remarks and in our responses to questions that may include forward-looking statements. These involve inherent assumptions with known and unknown risks and other factors that could cause our future results to differ materially from our current expectations. Any forward-looking statements made today represent our views only as of this time. We disclaim any obligation to update forward-looking statements in the future, even if our estimates change. So, you should not rely on any of these forward-looking statements as representing our views, as of any time after this call. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent that we use non-GAAP financial measures during this call that are not reconciled to GAAP measures in the earnings press release, we will provide reconciliations promptly on the Investor Relations section of our website after this call. I'm now pleased to introduce the Chief Executive Officer of Novanta, Matthijs Glastra.
Matthijs Glastra: Thank you, Ray. Good morning everybody and thanks for joining our call. Novanta performed very well in the fourth quarter of 2019 with both revenue and adjusted EPS exceeding the top end over guidance and revenue up nearly $6 million sequentially versus the third quarter. The company delivered nearly $160 million in revenue representing 2% year-over-year revenue growth on a reported basis and 2% decline on an organic basis. For the full year of 2019, we delivered $626 million in revenue which represents reported growth of 2% year-over-year on a reported basis and organic growth of approximately 1%. Adjusted EBITDA was $31 million in the fourth quarter and 121 million for the full year. Adjusted EPS was $0.55 in the fourth quarter and $2.14 for the full year. Our team executed very well in an industrial capital spending market which has been in recession for the past few quarters. Our book-to-bill was 1.07 in the fourth quarter and was exactly 1.0 for the full year. In the fourth quarter, we saw strong bookings across the board up sequentially by 6% versus the third quarter and up 4% year-over-year, with each of our segments showing positive book-to-bill ratios on the back of strong commercial execution and solid demand especially from some of our medical customers. Novanta's positioning is favorable with over half of our revenue in medical markets that are structurally growing. We remain laser focused on growing faster than the market with proprietary motion, vision and photonics capabilities in a diverse set of applications driven by secular industry 4.0, precision medicine and healthcare productivity trends. We are strongly investing in innovation and commercial capabilities through business cycles to enhance our proprietary technology position, and long-term sustainable growth, potential and secular growth applications such as robotic surgery, minimally invasive surgery, DNA sequencing, advanced material processing, and precision automation and robotics. In 2019, we saw excellent momentum and success in our efforts to introduce new innovations to our customers. On the back of the innovation investments we've made we view our innovation pipeline as the strongest it's ever been with significant opportunities in the growth applications highlighted earlier. As a result, we are raising our R&D investments in 2020 from 9% of sales to 10% of sales to bring these innovations to market in the back end of 2020 and in 2021. For the full year of 2019, new product revenue grew 27% year-over-year. Our vitality index, which is revenue from new products launched in the last four years, was at 26% of sales versus 22% in 2018 and mid single digit percentages a few years ago. Design wins grew over 20% for the full year as our teams executed on the strong funnel of design win opportunities. We are seeing many customer platforms openings with opportunities to gain share on the back of our strong innovation pipeline. All in all, I'm very proud of the strong performance by our commercial and R&D teams in 2019, despite the market circumstances. An important element in our capital deployment strategy is M&A. In 2019, we closed three acquisitions, Ingenia, Med X Change and ARGES, one in each of our operating segments. Each of these acquisitions significantly accelerates our strategy to sell more content to our customers in the form of intelligent subsystems, which include an increased software content. We are specifically targeting to sell these subsystems to customers who play in high growth markets such as additive manufacturing, minimally invasive surgery, robotic surgery and other high growth areas. The engineering capability we've acquired via these acquisitions is tremendous. And we see strong sales and technology synergies by applying these capabilities through the Novanta sales channels. As we look at it right now, through these acquisitions combined with our own R&D investments, we will be able to accelerate our innovation pipeline in a very meaningful way with multiple products hitting the market towards the end of 2020 and in 2021. For the full year of 2019, the percentage of our revenue coming from intelligent subsystems is above 25% of sales. And we expect this to steadily increase over time. From an M&A pipeline perspective, we remain very disciplined on strategic fit and returns. Our balance sheet is strong and we will move quickly if an opportunity arises that we feel accelerates our strategy and delivers attractive returns. Let me touch on what we're seeing in our markets in the overall macroeconomic climate. Our medical markets continued to be very robust. We saw double digit growth in our medical businesses for the full year of 2019. And momentum is broad based, but we are particularly pleased with our momentum in robotic and minimally invasive surgery. Novanta is gaining share in these markets driven by innovations and we expect that momentum to continue in these areas. I would also like to point out that we're achieving double digit growth in our medical business despite a full year double digit decline in DNA sequencing. Representing approximately 55% of our revenue, we expect our medical business to continue to serve as a growth engine in 2020 in an uncertain macroeconomic climate. In the fourth quarter we saw a stabilizing industrial capital spending climate, but at a continued weak level. We also saw our revenue in China bounce back to growth of approximately 15% versus the fourth quarter of 2018 on the back of five key infrastructure and semiconductor markets. Obviously, the coronavirus has changed this and Novanta will not be unique in the way we will be affected. I will let Robert explain in more detail the implications of the health epidemic to our financials, but I would like to say first and foremost, that we're very pleased that all our 200 Chinese employees are safe and that our Chinese operation in Suzhou is running at 90% production capacity. Despite this, our Chinese based customers and suppliers are still slowly coming back online and therefore the situation remains uncertain. The effects of the health epidemic are expected to impact our first quarter and perhaps first half results that are clearly temporary in nature. In his environment, we focus heavily on our customers and what we can control. We continue to have the confidence to invest in our innovation pipeline and driver businesses to capture emerging new customer opportunities. These opportunities are significant and should solidify and even strengthen our long-term growth in 2020 and beyond and/or opportunities available to us only if we act fast and decisively. In addition, we recently held a two day off site meeting with company leaders which focus on institutionalizing the Novanta growth system operating across our business units and deep into the cultural fabric of this company. The Novanta growth system is a common way of working through a set of common tools and processes vigorously applied to accelerate and drive sustained growth and operating performance. We feel that by rigorously applying the Novanta growth system, it will assist us enormously in achieving our goals for 2020, especially in areas of customer satisfaction, speed of market, gross margin expansion and inventory optimization. Now, let me throw it to our operating segments. Starting with the Vision segment, this segment had phenomenal performance in 2019 with excellent execution by the team as a reminder the Vision segment predominantly serves the medical market. Large applications include minimally invasive surgery, in vitro diagnostics, and other medical devices. For the full year of 2019, our Vision segment delivered excellent 17% year-over-year revenue growth. Growth was driven by new products and new product launches at customers. In the Vision segment, new product revenue for the full year grew over 60% versus 2018 and total new product revenue maintained at about 35% of sales. The book-to-bill in our Vision segment for the full year was at 1.03. The Vision segment predominantly serves the medical market and as previously mentioned we saw solid market momentum as well as new product launch momentum which we expect to continue as we progress through 2020. Within the Vision segment, our MIS business again performed extremely well in the fourth quarter of 2019 as it did throughout the full year. We continue to see nice momentum in our one business unit on the back of the smoke evacuation technology we reported on earlier. We couldn't be more pleased with the innovation strength and customer relationship depth of this business unit and I expect further gain share in endoscopy, as well as expand into adjacencies such as arthroscopy and robotic surgery. We estimate the size of these adjacent market segments to be roughly $200 million. And as a result, we are stepping up our R&D investments in the MIS business. We're also pleased with trajectory of our NDS business unit as it gains more significant exposure to the attractive integrated OR segment, with a strong new product lineup for 2020 helped by our Med X Change acquisition in 2019. This acquisition has brought to Novanta not only an expanded product portfolio, but also a differentiated OEM software solution for our customers, which we believe to raise increased stickiness with our customers at a more attractive margin profile. In addition, the NDS business units continue to substantially improve its profitability for the full years of 2019. In the fourth quarter, we completed the production transfer from San Jose into our MIS manufacturing component center, which will significantly improve scale and efficiency in 2020 and beyond. Finally, our Detection & Analysis business unit continued to show solid momentum around new product launches of medical grade RFID and machine vision product offerings. For the full year 2019, we introduced five new products and saw strong double digit growth and its RFID and machine vision revenue. We're also pleased with the gross margin expansion in this business unit. Our Precision Motion segment revenue declined 6% for the full year of 2019 where growth momentum in robotic surgery could not offset 20% declines in microelectronics, semiconductors and industrial markets. In the fourth quarter, we did see the first signs of recovery in the microelectronics and semiconductor end markets given the uptick in demand for 5G and cloud based infrastructure. The Precision Motion book-to-bill improved to 1.04 in the fourth quarter with bookings improving sequentially by 19%, also providing a positive leading indicator heading into 2020. We like our position in precise and dynamic motion control technology serving markets with structural growth dynamics such as precision automation, robotics and robotic surgery markets. As it relates to the surgical robotic markets, we continue to see our technology to be validated, and our position grow with the largest players. The Ingenia acquisition, which added software based motion control solutions to our product portfolio has opened up new opportunities to the company both in medical and industrial robotics markets, and consequentially is on a path of growth to more than double in revenue in 2020 albeit from a small base. Within the Precision Motion segment, for the full year of 2019, new product revenue grew 40% and our design wins grew more than 60% versus last year as we bring new innovations to market and are expanding our commercial teams. Turning to the performance our Photonics segments, for the full year of 2019 revenue was down 8% driven by Laser Quantum in a deteriorating industrial capital spending climate. Laser Quantum revenue had a double digit decline for the full year in 2019 as expected and as previously communicated due to the dynamics in DNA sequencing, which we have widely discussed in the last few quarters. We believe the lumpiness we experienced in 2019 is temporary and not correlated with long-term multi-year market demand nor our competitive position. And while we do not expect DNA sequencing to contribute to growth in 2020, we remain excited about the long-term growth prospects and our leadership position of this business. The full year performance of the Photonics segment was also impacted by the deteriorating macroeconomic headwinds in industrial capital spending markets that we just discussed. However, our teams have been extremely resilient and have worked to counter act many of the challenges in the market and effect gain share with our customers during this downturn. The Photonics segment in the fourth quarter saw bookings improve sequentially by 2%, with book-to-bill of 1.06. Design wins continued their momentum and grew over 40% year-over-year in the fourth quarter. The innovation pipeline in our Photonics segment is the best it has ever been. And it has accelerated by our recent ARGES acquisition in beam delivery. We are anticipating introducing six new product platforms in 2020 which is double the amount we introduced in 2019. And which are expected to help us gain share in adjacent high growth application segments. Target applications include laser additive manufacturing, micromachining, advanced material converting and electric vehicle battery welding, all of which are an overall additional market opportunity of about $150 million. The revenue impact of these new product launches will be more material in 2021 and beyond, but we do expect to begin to see some sales on the back end of 2020 as these new products come online. To wrap up, we are very pleased with our positioning and performance and our medical end markets are very proud of the performance, resilience and agility of our teams in an uncertain environment. At Novanta, we believe that a healthy company culture is the ultimate competitive advantage in the face of opportunity and adversity. This means trusting each other being profitable with constructive conflict for the good of the company and holding each other accountable to deliver. Our version of a healthy performance culture is the Novanta way which institutionalizes how we work together in cohesive and trusting teams, how we behave and interacts through our five core values, and how we execute through to Novanta growth system. We feel Novanta is very well positioned despite the near term challenges in the broader economy. Our design momentum continues to be high; bookings are recovering and new product introductions and innovation pipelines are as strong as they have ever been. Title: Novanta Inc. (NOVT) CEO Matthijs Glastra on Q4 2019 Results - Earnings Call Transcript Symbol: NOVT Call Start: 10:00 Call End: 10:59 Novanta Inc. (NOVT) Q4 2019 Earnings Conference Call February 26, 2020 10:00 AM ET
Presentation:
Operator: Good morning. My name is Eileen and I will be your conference operator today. At this time, I would like to welcome everyone to the Novanta Incorporated's 2019 Fourth Quarter and Full Year Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please note this event is being recorded. I would like to turn the conference over to Ray Nash, Corporate Finance Leader for Novanta. Please go ahead.
Ray Nash: Thank you very much. Good morning and welcome to Novanta's fourth quarter and full year 2019 earnings conference call. I am Ray Nash, Corporate Finance Leader of Novanta. With me on today's call is our Chief Executive Officer, Matthijs Glastra; and our Chief Financial Officer, Robert Buckley. If you have not received a copy of our earnings press release issued today, you may obtain it from the Investor Relations section of our website at www.novanta.com. Please note this call is being webcast live and will be archived on our website shortly after the call. Before we begin, we need to remind everyone of the Safe Harbor for forward-looking statements that we've outlined in our earnings press release issued earlier today and also those in our SEC filings. We may make some comments today both in our prepared remarks and in our responses to questions that may include forward-looking statements. These involve inherent assumptions with known and unknown risks and other factors that could cause our future results to differ materially from our current expectations. Any forward-looking statements made today represent our views only as of this time. We disclaim any obligation to update forward-looking statements in the future, even if our estimates change. So, you should not rely on any of these forward-looking statements as representing our views, as of any time after this call. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent that we use non-GAAP financial measures during this call that are not reconciled to GAAP measures in the earnings press release, we will provide reconciliations promptly on the Investor Relations section of our website after this call. I'm now pleased to introduce the Chief Executive Officer of Novanta, Matthijs Glastra.
Matthijs Glastra: Thank you, Ray. Good morning everybody and thanks for joining our call. Novanta performed very well in the fourth quarter of 2019 with both revenue and adjusted EPS exceeding the top end over guidance and revenue up nearly $6 million sequentially versus the third quarter. The company delivered nearly $160 million in revenue representing 2% year-over-year revenue growth on a reported basis and 2% decline on an organic basis. For the full year of 2019, we delivered $626 million in revenue which represents reported growth of 2% year-over-year on a reported basis and organic growth of approximately 1%. Adjusted EBITDA was $31 million in the fourth quarter and 121 million for the full year. Adjusted EPS was $0.55 in the fourth quarter and $2.14 for the full year. Our team executed very well in an industrial capital spending market which has been in recession for the past few quarters. Our book-to-bill was 1.07 in the fourth quarter and was exactly 1.0 for the full year. In the fourth quarter, we saw strong bookings across the board up sequentially by 6% versus the third quarter and up 4% year-over-year, with each of our segments showing positive book-to-bill ratios on the back of strong commercial execution and solid demand especially from some of our medical customers. Novanta's positioning is favorable with over half of our revenue in medical markets that are structurally growing. We remain laser focused on growing faster than the market with proprietary motion, vision and photonics capabilities in a diverse set of applications driven by secular industry 4.0, precision medicine and healthcare productivity trends. We are strongly investing in innovation and commercial capabilities through business cycles to enhance our proprietary technology position, and long-term sustainable growth, potential and secular growth applications such as robotic surgery, minimally invasive surgery, DNA sequencing, advanced material processing, and precision automation and robotics. In 2019, we saw excellent momentum and success in our efforts to introduce new innovations to our customers. On the back of the innovation investments we've made we view our innovation pipeline as the strongest it's ever been with significant opportunities in the growth applications highlighted earlier. As a result, we are raising our R&D investments in 2020 from 9% of sales to 10% of sales to bring these innovations to market in the back end of 2020 and in 2021. For the full year of 2019, new product revenue grew 27% year-over-year. Our vitality index, which is revenue from new products launched in the last four years, was at 26% of sales versus 22% in 2018 and mid single digit percentages a few years ago. Design wins grew over 20% for the full year as our teams executed on the strong funnel of design win opportunities. We are seeing many customer platforms openings with opportunities to gain share on the back of our strong innovation pipeline. All in all, I'm very proud of the strong performance by our commercial and R&D teams in 2019, despite the market circumstances. An important element in our capital deployment strategy is M&A. In 2019, we closed three acquisitions, Ingenia, Med X Change and ARGES, one in each of our operating segments. Each of these acquisitions significantly accelerates our strategy to sell more content to our customers in the form of intelligent subsystems, which include an increased software content. We are specifically targeting to sell these subsystems to customers who play in high growth markets such as additive manufacturing, minimally invasive surgery, robotic surgery and other high growth areas. The engineering capability we've acquired via these acquisitions is tremendous. And we see strong sales and technology synergies by applying these capabilities through the Novanta sales channels. As we look at it right now, through these acquisitions combined with our own R&D investments, we will be able to accelerate our innovation pipeline in a very meaningful way with multiple products hitting the market towards the end of 2020 and in 2021. For the full year of 2019, the percentage of our revenue coming from intelligent subsystems is above 25% of sales. And we expect this to steadily increase over time. From an M&A pipeline perspective, we remain very disciplined on strategic fit and returns. Our balance sheet is strong and we will move quickly if an opportunity arises that we feel accelerates our strategy and delivers attractive returns. Let me touch on what we're seeing in our markets in the overall macroeconomic climate. Our medical markets continued to be very robust. We saw double digit growth in our medical businesses for the full year of 2019. And momentum is broad based, but we are particularly pleased with our momentum in robotic and minimally invasive surgery. Novanta is gaining share in these markets driven by innovations and we expect that momentum to continue in these areas. I would also like to point out that we're achieving double digit growth in our medical business despite a full year double digit decline in DNA sequencing. Representing approximately 55% of our revenue, we expect our medical business to continue to serve as a growth engine in 2020 in an uncertain macroeconomic climate. In the fourth quarter we saw a stabilizing industrial capital spending climate, but at a continued weak level. We also saw our revenue in China bounce back to growth of approximately 15% versus the fourth quarter of 2018 on the back of five key infrastructure and semiconductor markets. Obviously, the coronavirus has changed this and Novanta will not be unique in the way we will be affected. I will let Robert explain in more detail the implications of the health epidemic to our financials, but I would like to say first and foremost, that we're very pleased that all our 200 Chinese employees are safe and that our Chinese operation in Suzhou is running at 90% production capacity. Despite this, our Chinese based customers and suppliers are still slowly coming back online and therefore the situation remains uncertain. The effects of the health epidemic are expected to impact our first quarter and perhaps first half results that are clearly temporary in nature. In his environment, we focus heavily on our customers and what we can control. We continue to have the confidence to invest in our innovation pipeline and driver businesses to capture emerging new customer opportunities. These opportunities are significant and should solidify and even strengthen our long-term growth in 2020 and beyond and/or opportunities available to us only if we act fast and decisively. In addition, we recently held a two day off site meeting with company leaders which focus on institutionalizing the Novanta growth system operating across our business units and deep into the cultural fabric of this company. The Novanta growth system is a common way of working through a set of common tools and processes vigorously applied to accelerate and drive sustained growth and operating performance. We feel that by rigorously applying the Novanta growth system, it will assist us enormously in achieving our goals for 2020, especially in areas of customer satisfaction, speed of market, gross margin expansion and inventory optimization. Now, let me throw it to our operating segments. Starting with the Vision segment, this segment had phenomenal performance in 2019 with excellent execution by the team as a reminder the Vision segment predominantly serves the medical market. Large applications include minimally invasive surgery, in vitro diagnostics, and other medical devices. For the full year of 2019, our Vision segment delivered excellent 17% year-over-year revenue growth. Growth was driven by new products and new product launches at customers. In the Vision segment, new product revenue for the full year grew over 60% versus 2018 and total new product revenue maintained at about 35% of sales. The book-to-bill in our Vision segment for the full year was at 1.03. The Vision segment predominantly serves the medical market and as previously mentioned we saw solid market momentum as well as new product launch momentum which we expect to continue as we progress through 2020. Within the Vision segment, our MIS business again performed extremely well in the fourth quarter of 2019 as it did throughout the full year. We continue to see nice momentum in our one business unit on the back of the smoke evacuation technology we reported on earlier. We couldn't be more pleased with the innovation strength and customer relationship depth of this business unit and I expect further gain share in endoscopy, as well as expand into adjacencies such as arthroscopy and robotic surgery. We estimate the size of these adjacent market segments to be roughly $200 million. And as a result, we are stepping up our R&D investments in the MIS business. We're also pleased with trajectory of our NDS business unit as it gains more significant exposure to the attractive integrated OR segment, with a strong new product lineup for 2020 helped by our Med X Change acquisition in 2019. This acquisition has brought to Novanta not only an expanded product portfolio, but also a differentiated OEM software solution for our customers, which we believe to raise increased stickiness with our customers at a more attractive margin profile. In addition, the NDS business units continue to substantially improve its profitability for the full years of 2019. In the fourth quarter, we completed the production transfer from San Jose into our MIS manufacturing component center, which will significantly improve scale and efficiency in 2020 and beyond. Finally, our Detection & Analysis business unit continued to show solid momentum around new product launches of medical grade RFID and machine vision product offerings. For the full year 2019, we introduced five new products and saw strong double digit growth and its RFID and machine vision revenue. We're also pleased with the gross margin expansion in this business unit. Our Precision Motion segment revenue declined 6% for the full year of 2019 where growth momentum in robotic surgery could not offset 20% declines in microelectronics, semiconductors and industrial markets. In the fourth quarter, we did see the first signs of recovery in the microelectronics and semiconductor end markets given the uptick in demand for 5G and cloud based infrastructure. The Precision Motion book-to-bill improved to 1.04 in the fourth quarter with bookings improving sequentially by 19%, also providing a positive leading indicator heading into 2020. We like our position in precise and dynamic motion control technology serving markets with structural growth dynamics such as precision automation, robotics and robotic surgery markets. As it relates to the surgical robotic markets, we continue to see our technology to be validated, and our position grow with the largest players. The Ingenia acquisition, which added software based motion control solutions to our product portfolio has opened up new opportunities to the company both in medical and industrial robotics markets, and consequentially is on a path of growth to more than double in revenue in 2020 albeit from a small base. Within the Precision Motion segment, for the full year of 2019, new product revenue grew 40% and our design wins grew more than 60% versus last year as we bring new innovations to market and are expanding our commercial teams. Turning to the performance our Photonics segments, for the full year of 2019 revenue was down 8% driven by Laser Quantum in a deteriorating industrial capital spending climate. Laser Quantum revenue had a double digit decline for the full year in 2019 as expected and as previously communicated due to the dynamics in DNA sequencing, which we have widely discussed in the last few quarters. We believe the lumpiness we experienced in 2019 is temporary and not correlated with long-term multi-year market demand nor our competitive position. And while we do not expect DNA sequencing to contribute to growth in 2020, we remain excited about the long-term growth prospects and our leadership position of this business. The full year performance of the Photonics segment was also impacted by the deteriorating macroeconomic headwinds in industrial capital spending markets that we just discussed. However, our teams have been extremely resilient and have worked to counter act many of the challenges in the market and effect gain share with our customers during this downturn. The Photonics segment in the fourth quarter saw bookings improve sequentially by 2%, with book-to-bill of 1.06. Design wins continued their momentum and grew over 40% year-over-year in the fourth quarter. The innovation pipeline in our Photonics segment is the best it has ever been. And it has accelerated by our recent ARGES acquisition in beam delivery. We are anticipating introducing six new product platforms in 2020 which is double the amount we introduced in 2019. And which are expected to help us gain share in adjacent high growth application segments. Target applications include laser additive manufacturing, micromachining, advanced material converting and electric vehicle battery welding, all of which are an overall additional market opportunity of about $150 million. The revenue impact of these new product launches will be more material in 2021 and beyond, but we do expect to begin to see some sales on the back end of 2020 as these new products come online. To wrap up, we are very pleased with our positioning and performance and our medical end markets are very proud of the performance, resilience and agility of our teams in an uncertain environment. At Novanta, we believe that a healthy company culture is the ultimate competitive advantage in the face of opportunity and adversity. This means trusting each other being profitable with constructive conflict for the good of the company and holding each other accountable to deliver. Our version of a healthy performance culture is the Novanta way which institutionalizes how we work together in cohesive and trusting teams, how we behave and interacts through our five core values, and how we execute through to Novanta growth system. We feel Novanta is very well positioned despite the near term challenges in the broader economy. Our design momentum continues to be high, bookings are recovering and new product introductions and innovation pipelines are as strong as they have ever been. Novanta's leadership position across diversified medical and advanced industrial markets, combined with our disciplined approach to M&A continues to provide a solid foundation for long-term sustainable, profitable growth. Therefore, we remain focused on our strategy to expanding growing medical markets that are not wavering in our conviction of innovation investments to expand our proprietary technology positions. So with that, I will turn the call over to Robert to provide more details on our financial performance. Robert?
Robert Buckley: Thank you, Matthijs and good morning everyone. We delivered 159.7 million in revenue in the fourth quarter of 2019, an increase of 2% year-over-year on a reported basis and the decline of 2% on organic basis. For full year 2019, we delivered 626 million in revenue, an increase of 2% on a reported basis and organic growth was positive 1% year-over-year. While the industrial capital spending environment and the economic climate in Europe and China remain weak, we are pleased with the organization's ability to deliver on our financial commitments for the quarter. The better than expected revenue growth was driven by strong growth in our medical business, and higher growth in new product revenue, which now represents 26% of our sales. Our medical sales were up mid teens in the fourth quarter and full year. This was despite not seeing a meaningful contribution from the DNA sequencing market in the fourth quarter, and experienced roughly 10% decline for the full year. Overall, we're pleased with how we managed through the economic environment and with the strength and resilience of our portfolio. Turning to profit, our fourth quarter GAAP gross margin was 66 million or 41% of sales compared to 64 million or 41% of sales in the fourth quarter of 2018. For the full year of 2019 GAAP gross profit was 262 million or 42% of sales compared to 261 million or 43% of sales in 2018. On a non GAAP basis fourth quarter adjusted gross profit was nearly 70 million or 44% of sales compared to 67 million or 43% of sales in the fourth quarter of 2018. Full year of 2019 adjusted gross profit was 274 million or 44% of sales compared to 272 million or 44% of sales in 2018. For the full year of 2019, our adjusted gross margin was roughly flat compared to 2018. The lack of gross margin expansion was largely impacted by significant growth in our medical consumables product lines which drove unfavorable mix effects during the year. We also faced temporary cost headwinds caused by redundant manufacturing facilities for our NDS business unit as we shifted production from San Jose, California to our Germany facility. The San Jose manufacturing facility is now closed creating a healthy tailwind as we move forward into 2020. Moving on to operating expenses, fourth quarter R&D expenses were 15 million or 9.2% of sales compared to 13 million or 8.5% of sales in the fourth quarter of 2018. For the full year of 2019, R&D expenses were 56 million or 9% of sales compared to 51 million or 8% of sales in2018. As seen in our new product revenue and our design win activity we are making progress with our innovation engine and pipeline. The current economic climate in our view provides the opportunity to take market share and capture significant growth opportunities to drive our growth in 2021 and beyond. Fourth quarter SG&A expenses were 29 million or 18% of sales compared to 28 million or 18% of sales in the fourth quarter of 2018. For the full year of 2019, SG&A expenses were 118 million or 19% of sales compared to 19% of sales in 2018. GAAP operating income was 13 million in the fourth quarter 2019 compared to 16 million in 2018. For the full year of 2019, GAAP operating income was 55 million compared to 71 million in 2018. Non-GAAP operating income in the fourth quarter was 25 million or 16% of sales, compared to 25 million or 16% of sales in the prior year. For the full year 2019, non-GAAP operating income was 100 million or 16% of sales compared 105 million or 17% of sales in 2018. Adjusted EBITDA was 30.5 million in the fourth quarter of 2019 compared to 30.8 million in the fourth quarter of 2018. For the full year 2019, adjusted EBITDA was 121 million compared to 123.8 million in the prior year. Interest expense in the quarter was 2.1 million versus 2.5 million in the prior year. For the full year of 2019, interest expense was 8.5 million compared to 9.8 million 2018. The weighted average interest rate of our senior credit facility was 2.9% for the fourth quarter. On the tax front, our GAAP tax rate was 11% for the full year of 2019 and deferred from the Canadian statutory rate of 29%, driven largely by favorable tax credits and jurisdictional mix of income. On a non-GAAP basis, our tax rate was 16%, which was driven by favorable tax credits in the United States and the UK, and more favorable jurisdictional mix of income. Our GAAP diluted earnings per share were $0.26 in the fourth quarter 2019 compared to diluted earnings per share of $0.33 in the fourth quarter of 2018. For the full year of '19, diluted earnings per share was $1.15 compared to $1.43 in the prior year. On a non GAAP basis adjusted earnings per share was $0.55 in the quarter flat versus the prior year. For the full year of 2019, adjusted EPS was $2.14 compared to $2.15 in the prior year. And we ended 2019 with 35.5 million diluted weighted average shares outstanding. Fourth quarter operating cash flow was 35.4 million compared to 21.9 million in the fourth, fourth quarter of 2018. This result was in line with our expectations as we discussed at our last call, it was mostly driven by timing of networking capital. For the full year of 2019 operating cash flow with 63.2 million compared to 89.6 in 2018. This full year performance, which we also discussed in prior quarters was driven in part by the uptick in inventory an area of focus for us in 2020. We ended 2019 with gross debt of 225 million and our gross leverage ratio was 1.9 times, defined as gross debt divided by rolling 12 months pro forma EBITDA. Our net debt was 146 million as of the end of 2019 or roughly 1.2 times. We continue to build a very healthy acquisition pipeline particularly around our medical end markets. You should continue to expect us to be highly disciplined around maximizing cash flow returns and ensuring future transactions will accelerate our financial goals. Turning into the full year of 2020 there are a lot of exciting aspects of our business where we're seeing momentum building, particularly around new products and design win activity and around our medical business. Prior to the ongoing public health epidemic, which originated in China, we saw industrial capital spending market stabilizing and some early signs of growth returning particularly around 5G infrastructure investments. However, as we stand here today it's clear the coronavirus is going to temporarily delay and disrupt our business in the first quarter. This epidemic is expected to have a temporary impact on our sales of product sold directly to China, which represent just over 10% of our company's total sales. We also expect it to impact our supply chain, specifically product source from China to feed our global factories. And finally, we do expect to see some impact on demand for our non-China based customers due to their own dependencies on the China market. The effects of our supply chain and sales to our non-China based customers are currently expected to be smaller impact at this stage of the epidemic. The consequences of the virus further spreading outside of China is still too early and uncertain for us to estimate if there is any impact. But this is something we are carefully monitoring and currently attempting to mitigate. The effects of the coronavirus outbreak represents our views as of today, based on our current expectations regarding the timing of business resumption on our operations and our customers and our Chinese supply chain. A significant worsening of the situation is currently not anticipated in our guidance. Regardless, we believe this disruption to only be temporarily and that overall we remain fundamentally strong and well positioned for growth and success in 2020. Consequently, we are not updating our full year guidance, which we issued in January. It is our expectation that the financial weakness we are seeing in the first quarter will be recovered before year end. The first quarter of 2020, we expect GAAP revenue in the range of 144 million to 154 million. This represents an expected year-over-year decline in sales in the range of low to mid single digits on a reported basis. This weakness in the first quarter is directly correlated to the disruption being caused by the coronavirus outbreak and impact on revenue in the range of 10 million to 15 million at this time. First quarter gross margins are expected to decline roughly 100 basis points from the fourth quarter of 2019. The largest contributor of this is the close of our San Jose manufacturing facility and a slightly better mix of higher margin sales. As mentioned before, we're very excited about our innovation pipeline and therefore expect R&D investments of 15 million to 16 million in the quarter, representing over 10% of sales, but largely due to the drop in revenue. SG&A will climb in the first quarter to around 33 million. The uptick in spending of greater than 1 million is a consequence of higher variable compensation accruals and the seasonality of payroll taxes. Depreciation expense is expected to be close to 3.1 million, while amortization of intangibles is around 5.3 million. First quarter stock based compensation expense will be around 3.2 million. The first quarter 2020 we expect adjusted EBITDA to be in the range of 23 million to 26 million, which should be mid teens on a percent of sales basis. This lower EBITDA margin is a reflection of the temporary decrease in volumes as we are investing into the headwinds. We expect to be able to recover from this lower profit margin in the first quarter during the remainder of the year. Interest expense is expected to be around 7 million for the full year versus 8.5 million in 2019, as a consequence of both the more favorable terms under our new credit facility and some interest rate arbitrage strategies we've been implementing, where we're trading us borrowing for euro borrowing at a lower interest rate. We expect to see non-GAAP tax rate of about 18% for the full year of 2020 and approximately 15% to 16% for the first quarter. Finally, we expect diluted earnings per share will be around 35.6 million and therefore we expect first quarter of 2020 adjusted earnings per share to be in the range of $0.34 to $0.42. Overall we feel confident in the ability and strength of our portfolio. Demand is through the temporary disruptions caused by the coronavirus outbreak. Our medical business is continuing a strong growth trajectory with tremendous demand across various products and multiple end markets, which is giving our portfolio resilience. Our design win activity is very strong and our new product introductions are as robust as we've ever seen. In addition, we feel great about the impact of institutionalizing the Novanta growth system across the company to drive sustained growth margin expansion and inventory reductions. An example of our commitment around this is we recently aligned the company's short-term incentive compensation structure around sustainment and improvements in gross margin and reductions in inventory. Despite the health epidemic, we're confident that we are well positioned to deliver on our 2020 financial goals. We are very proud of the performance of our employees and their commitment to helping us weather this difficult environment. We remain excited about our future and look forward to continue to deliver on our commitments for our employees, our customers and our shareholders. This concludes our prepared remarks. We'll now open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Lee Jagoda with CJS Securities.
Lee Jagoda: Good morning.
Matthijs Glastra: Hey Lee.
Robert Buckley: Hey Lee.
Lee Jagoda: So can we start with all the opportunities you're seeing in terms of new products and maybe give us some detail around the end markets and the product applications that are causing you to accelerate your R&D spend this year?
Matthijs Glastra: Yeah. Good morning Lee. I've commented on most of that in my prepared remarks, but let's go one by one. I mean, we see tremendous opportunity in our minimally invasive surgery end markets. I commented that we see opportunity in endoscopy as well as arthroscopy and robotic surgery within our minimally invasive surgery business. So that's a combination of our entire product portfolio in that segment, and that's a multi-year expansion opportunities that we see and I commented that that's roughly a $200 million market, adjacent market opportunity that we're currently not serving. Then in our Photonics segment, I commented that we are accelerating product introductions, particularly around beam delivery, but also in other parts over Photonics segment. So we're basically doubling the product introductions from three to six, six in 2020 that is. And those products will be introduced in the latter part of 2020 and will have more material impact in 2021. And we're basically seeing on the back of these innovations and that's both in Photonics as well as in minimally invasive surgery, extremely active customer engagements right now. And to win kind of slots, they're opening up in the next, say 12 to 24 months. In addition, we see on the back of our acquisitions, I've commented on that they have really – and that's across our entire portfolio. They've really helped to accelerate and rejuvenate our innovation pipeline, particularly around intelligent subsystems, so maybe one other thing to comment on is that we're very excited about the motion control capabilities that we've added last year that we see to be particularly targeted in robotic as well as industrial precision automation segment. So I think all in all, it's a pretty broad based set of opportunities. I think on the Photonic side maybe just to comment on the type of markets I realized I forgot to mention that is a combination of laser additive manufacturing, which is driven by both aerospace as well as medical end markets, rapidly growing market, where we feel we can gain share with our new capabilities micromachining which is building into the trend of automation on the back of laser based production technologies, let's say advanced converting applications, both textile as well as other converting based applications. And finally, an emerging opportunity for us, but obviously very relevant is electric vehicle battery welding. Yeah. So as demand increases in that market, for obvious reasons, more sophisticated production technologies are needed to get the throughput up and a cost per part down and those are typical trends that play into our favor with more precise, let's say technologies. And with the latest edition of both our acquisitions as well as our innovation investments we've made in the past, we are, yeah, we're very excited about playing a more substantial role into those markets.
Lee Jagoda: That's great. And then just focusing in on the one business specifically, I think that business has been growing something in order of magnitude in the 20% range already driven by the adoption of the smoke evacuation stuff.
Matthijs Glastra: Yeah.
Lee Jagoda: With further adoption of that, as well as the new market opportunities, how do we size the growth rate, call it from the 20% level over the next several years, does it accelerate from that level or just stay there longer?
Matthijs Glastra: Yeah, it's a great question. I mean, we have not specified that Lee, but I think giving you an order of magnitude of a $200 million adjacent additional market opportunity of course, we're not capturing 100% of that market. But it should give you a point of view that we're seeing expansion potential well beyond what we originally thought was possible. I mean, that business has fantastic innovation pipeline, very deep customer relationships and also capabilities that can expand into new markets. So their capability is not only around call it gas management and control, it's also around fluid management and control and, and that plays very well into, for example the arthroscopy market. So basically taking the capabilities, repackaging those and then targeting those capabilities into new markets, building off already strong customer relationships and that's a multi-year trend. And then as you know, medical markets are not moving very fast from kind of introducing new technology. So this you can expect and maybe it is a short answer, sustained growth in this business in the foreseeable future, multi-year.
Lee Jagoda: Okay. And then just one for Robert and I'll hop back in queue. Do you have any goals that you're willing to share on working capital reduction for 2020 and then maybe just touch on the CapEx forecast for this year?
Robert Buckley: Yeah, so on the goals, I always find it hard to come out with like what our internal goals are around this stuff when we have not been able to demonstrate the amount of progress that we've wanted to achieve. So we are – what we've decided to do this year, is get a lot more specific around the inventory reduction. So we've deployed a problem solving techniques that we use and tools that we've used as part of the Novanta growth system to attacking inventory and we've deployed some additional corporate resources around that effort to really kind of attacking this in a very methodical discipline type of manner that gets reviewed on a monthly basis. And then to add that extra incentives, historically we've had incentive comp paid on overall networking capital managed and then this year we've decided to get very specific and tie a portion of it to just the inventory because the reality is we've done an excellent job from the inventories and accounts payable side, we've been able to control that more through process and disciplines over at a higher level basis. So now time the individual business units to really managing their inventory and bringing that down. That's a key element of our compensation structure as we get into 2020. So it is the driver of our cash flow going into 2020. So my hope is to get back to the normalized rates of where we were in 2018 as our cash flow conversion as a percent of EBITDA. If you look back at that that would be my desire to get there through that inventory reduction, and that's the biggest lever that we have. Now from a CapEx perspective, we do see CapEx ticking up temporarily in 2020. We've talked about that a little bit in the past. We had exited around $10 million in '19 that has a little bit of investments in facilities, but for the most part was spent on our production capabilities, some of the fit out of tooling and whatnot. This year, in 2020, that's probably going to get close to double, depending upon the timing, somewhere close to $20 million because we have a pretty sizable investment that we're making into a new facility in the UK. That facility is somewhere in the order of magnitude of $8 million to $10 million, so that's a one off that won't repeat thereafter. But it is something that we're expecting to impact us in 2020, as we fit that out and add some capability that I think is – that our competitors, frankly, don't have, and then give us a little bit more scalability in the operations there because we're seeing some nice growth come out of it.
Lee Jagoda: Great, thanks very much.
Matthijs Glastra: Yeah, thanks Lee.
Operator: Our next question comes from Richard Eastman with Robert W. Baird.
Richard Eastman: Yes. Good morning.
Matthijs Glastra: Good morning Rick.
Richard Eastman: Hey, just a really quick clarification, Robert you had mentioned that the gross margin in the first quarter sequentially would be up or down 100 bps?
Robert Buckley: Up a 100 basis points.
Richard Eastman: Okay. Okay, perfect.
Robert Buckley: That's a good clarifying question.
Richard Eastman: Yeah, I'm thinking with the OpEx numbers that you tossed out there. It probably had better be up to cover some of that. And then Matthias just a question – a big picture question, as we roll into '20 here, the industrial portion of the business, which I think you said was maybe 45% of sales in '19. You made some reference to stabilization in the fourth quarter, perhaps some momentum, let's just ignore the first quarter here, but some momentum around the semi market, maybe 5G kind of driven. But how do you feel about potentially delivering some growth off of a pretty modest base for the 45% of the businesses industrial in 2020? Do you feel comfortable that we can potentially grow – return to growth there?
Matthijs Glastra: Yeah. Yeah, it's a good question, Rick. I mean, listen, I think that remark I made was around the fourth quarter prior to the coronavirus right. So let me be clear with that because it basically – with the coronavirus, a lot is up in the air, quite frankly. So, if you look at the fourth quarter, we saw China bouncing back at 15% on the back of 5G infrastructure and cloud based infrastructure and microelectronics markets in general, right. So and I don't think we have been any different than what other players are seeing quite frankly. So I think that's consistent with what others are seeing and so we saw that as well. And if you look at regionally for example, US was up and Germany was down, rest of Europe was actually doing – was hanging in there, of course anybody's guess what that will be with imminent coronavirus threats coming into Europe at the moment. I would suggest that let's say, yeah, from a Germany perspective, we expect that to be a little lackluster, particularly the first half. I mean, the original kind of idea and view prior to the corona virus is that macro economically the industrial markets would remain subdued in the first half and then we would return back to growth in the second half. It depends on the scope and the length of the coronavirus impact if that's going to change, but that that was the original viewpoint off of our guide and of course we have some modest, but nevertheless some impact of new product introducing in the second half of the year as well that should help that a bit.
Richard Eastman: Okay. Okay. And then just – I just want to follow up with a gross margin question. In the Vision segment of the business now we've got San Jose closed, we've got things – NDS integrated, I think there was a reference to 2 million of savings expected in 2020 there. And so when I look at, in particular within Vision, we've got kind of the self help initiatives and we got volume growth. We've got the benefits of maybe some of the consumables internalization here later this year. But is 200 plus basis point improvement in gross margin in the Vision segment, pretty much a layup at this point; a right handed layup at this point?
Robert Buckley: Yeah. So I would say that the 200 basis points should be fairly easy, right from that perspective. We're obviously trying to drive more and the only real risk in the Vision segment to gross margin expansion is some sort of significant uptick in the medical consumables which create that negative mix effect. Absent that we are really – we have all the actions in place, the teams have all the actions in place and some stuff already done in the consequences of San Jose manufacturing closing down to really drive margin expansion in that segment, so we feel pretty good about that. We feel we got the right sort of levers already pulled to drive the expansion there.
Richard Eastman: Okay. And overall, the adjusted gross margin then, you're still feeling reasonably comfortable around 200 basis points for Novanta? I know we got a little bit of a hurdle here in the first quarter with volumes, but.
Robert Buckley: Yeah, so I would say internally we're looking at that second half being 46 plus percent. And I think that really is kind of based upon the first quarter being more of a temporary impact and then starting to recover as we get into the second quarter. Hopefully, people calm down with the flu here and we can get back to business and so that's really the big issue.
Richard Eastman: Got you, okay. Great, thank you again.
Robert Buckley: Thanks Rick.
Operator: [Operator Instructions] And our next question will come from Brian Drab with William Blair.
Brian Drab: Hi, good morning. Thanks for taking the questions. Just first, following up on that last question around the one consumables, where are we with the prospect of getting that production and brought in house?
Matthijs Glastra: Yeah, so listen and we are tracking there. I think there is like with any multi-year transformational program and initiative there's some pluses and minuses. I think the pluses is that we've significantly strengthened the local teams and these teams are able to drive higher volume out of the existing facilities and infrastructure than we expected. So therefore, the overhead leverage and the productivity out of the factory, our own factory of existing products should actually be better than expected. And that gives us a little bit of time to figure out the best manufacturing footprint. As I commented earlier, we see the growth opportunity in the one business and minimally invasive surgery as well as the adjacent markets, I commented on very bright and as a result, it's important that we properly adjust our capacity and our footprint strategies accordingly with more new products coming in. So I think the short answer is we can get more out of the existing setup and that will drive gradual gross margin expansion. And the real step up in gross margin and step down and cost will happen in a few years. So we think it's around 2022, 2023 when – probably more likely 2023 when we put a more sustainable infrastructure in there, yeah. So what we will use in the meantime, all the aspects of the Novanta growth system to really drive and lean out the existing facility which again it looks more favorable than we initially expected.
Brian Drab: Okay, got it. Thank you. And then just this dynamic of relatively softer than expected first quarter guide given the corona and soft environment, but the maintenance of the full year guide, can you just talked about what drives that and what results in pent up demand rather than demand destruction here and maybe from – if you could just discuss some of the – what you're seeing from some of your customers and are they having to push out their sales to second quarter and then you'll just support them in the second quarter and make up for it? How's that going to play out?
Robert Buckley: Yeah, so I want to tack in this a little bit with a tie. So when we look at the – if you look at the sequential or the year-over-year it's 60% of like the magnitude of the drop in I'll talk to EPS is really the coronavirus impact. This is a flow through of that impact and not taking the cost actions. What I would say, we normally would just say, okay, given that there's a reduction in volume let's adjust the variable portion of our cost structure to deal with that. Take the heads out, or furlough them or whatever that might be. We haven't taken that action and the guide in Q1 because we see that opportunity is really being very, very temporary. It's not something that we think is going to be structurally inherent in the business on a go forward basis but last a couple of quarters. When you look at the year-over-year 20% of it is also increasing of the R&D that's going up about a million, million and a half. And then the variable comp element is the other 20% impacting the SG&A line. So that's kind of the walk in the thought process around it. And what are some of the things that give us some positive, Matthijs – or some excitement, as Matthijs talked a little bit about the bookings, he talked a little bit about the design win activity, he talked a little bit about the new product introductions. We did exit the fourth quarter with growth in China and grow in a number of our markets, Germany being really the only one that was really disappointing. And then – but yeah, we're also seeing a significant uptick in the amount of quoting activity even in places like China where people are really looking at their next generation of platforms to drive their own growth in the second half of the year and into 2021. And that was something that we talked a little bit about the last quarter where people were willing to pick their heads up, they are now willing to pick their heads up and that activity is still ongoing. So despite the fact that there is a coronavirus outbreak right now in China, we are still actively quoting even in that marketplace.
Matthijs Glastra: Yeah. No, and I can add to that is that so ironically, what you read in the news and what we feel on the ground, in terms of our customer activity in China particularly is very different. So we do see on the back of our capabilities a lot of strong interest. Now, of course, that will start to have more material impact in the second half of the year and in 2021. But we're engaging across the board, across all these applications that I mentioned with the leaders in those segments that are really pulling for innovations. And so then it takes another, let's say, 12 months to work with those customers to really bring or sometimes longer, right, in case of medical, it might take 24 months or longer to bring these innovations to markets with our customers, but the opportunity is now. And so what I commented on in the in the prepared remarks is that, yeah, if you look beyond kind of the call it the short-term noise you see in multiple high growth markets that have structural growth dynamics for the next decade, or plus you see slots opening with leaders that we could do more business with and gain share in the next 24 months and we're acting very decisively and fast. And yeah, that might mean that short-term there – we're forgoing some profit potential, but long-term, we feel that puts the company in a really good position. So that's why we're doing it and then it's anybody's guess, quite frankly. I mean, our views are as of today, in terms of the scope and the length of the coronavirus, it's anybody's guess how long it's going to take. In the meantime, we're going to stay focused on what we can control, be focused on our customers. Our customers are telling us give us more, give us more faster and that's where we're acting on.
Brian Drab: Got it, thank you. Hey, Robert, just to be clear, when you're talking about 60%, 20%, 20% what – you're comparing first quarter '20 to what, to the first quarter of '19. What was the 60%?
Robert Buckley: You're right, if you – year-over-year, so take the first quarter of 2020 to the first quarter of '19, 60% of the impact is the coronavirus and then 20% is R&D and 20% is variable comp.
Brian Drab: Yeah. And that variable comp is up year over year materially because?
Robert Buckley: We didn't get paid out a bonus last year for all types of purposes.
Brian Drab: Got it, okay. Okay.
Robert Buckley: Yeah, if you don't hit your goals, right, your comp goes down. That's how this thing works.
Brian Drab: Yeah, I just didn't know how that plays out through the year if that was accrued through the year and why it was accruing year-over-year markets. It wasn't – I'll take up targets on a detail offline to make sure I've got it. Just one more question for now. So this is going to be – at least the beginning of the year looks to be pretty challenging. And then you've got these – it sounds like some incredible opportunities in front of you that start to be driven by new product introductions later this year and into 2021. And so given the momentum you're going to have entering 2021 and fairly easy comparison, it looks like on 2020, is there any reason why in 2021 you wouldn't grow above this long-term average growth rate expectation of five to seven.
Robert Buckley: Yeah, I mean, we're not sitting here commenting on with the 2021 guide because we even don't know what our first half of 2020 baseline is going to be to be perfectly frank, but yeah, I mean, listen, I mean, that's of course, what we were shooting for absolutely and beyond, right. So the new product introduction should have a much more material and significant impact in 2021 and particularly 2022 even. So it's a multi-year impact to the business we feel. And so yeah, I mean, and that's why we're investing because we see the next two years as being – taking control of our destiny by driving more growth through innovation and share gains.
Brian Drab: Okay, and then in terms of the guidance for this year, for the full year, you're not – unless I missed it, you're not making any comment today regarding lower end is more likely or mid points more likely or any update in terms of that range, right.
Robert Buckley: I didn't want to get kind of specific around the range. We put a broader range out there knowing that there was some risk back in January and that risk is now materializing maybe a little bit more so than we anticipated. But I think I don't want to kind of get into any sort of updates on high low probabilities and all that.
Matthijs Glastra: Yeah. Let's see how this thing further develops and then we can get back with more specifics.
Brian Drab: Yeah, it makes sense. Okay. Thank you very much.
Robert Buckley: Thank you, Rob.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Matthijs Glastra for any closing remarks.
Matthijs Glastra: Thank you, operator. So to summarize, in the fourth quarter of 2019 Novanta delivered a solid performance in a uncertain macro environment. We're very pleased with our positioning and performance in our medical businesses and proud of the performance and agility of our teams in a weak industrial capital spending environment. Our design win momentum continues to be high. New Product introductions and innovation pipelines are as strong as they've ever been. And Novanta's leadership position across diversified medical and advanced industrial markets, combined with our disciplined approach to M&A is providing a solid foundation for long-term sustainable, profitable growth. While the short-term outlook is uncertain with a health epidemic, we're investing into the headwinds and remain focused on the long-term growth drivers in our business and back to macro trends in industry 4.0, precision medicine and minimally invasive surgery. In closing, I would like to thank our customers, our employees and our shareholders for their ongoing support and particularly grateful for the strong contribution and agility and execution of our teams of committed Novanta employees that are just showing tremendous dedication and agility. We appreciate your interest in the company and your participation in today's call. Very much look forward to joining all of you in several months on our first quarter 2020 earnings call. Thank you very much. This call is now adjourned.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Novanta's leadership position across diversified medical and advanced industrial markets, combined with our disciplined approach to M&A continues to provide a solid foundation for long-term sustainable, profitable growth. Therefore, we remain focused on our strategy to expanding growing medical markets that are not wavering in our conviction of innovation investments to expand our proprietary technology positions. So with that, I will turn the call over to Robert to provide more details on our financial performance. Robert?
Robert Buckley: Thank you, Matthijs and good morning everyone. We delivered 159.7 million in revenue in the fourth quarter of 2019, an increase of 2% year-over-year on a reported basis and the decline of 2% on organic basis. For full year 2019, we delivered 626 million in revenue, an increase of 2% on a reported basis and organic growth was positive 1% year-over-year. While the industrial capital spending environment and the economic climate in Europe and China remain weak, we are pleased with the organization's ability to deliver on our financial commitments for the quarter. The better than expected revenue growth was driven by strong growth in our medical business, and higher growth in new product revenue, which now represents 26% of our sales. Our medical sales were up mid-teens in the fourth quarter and full year. This was despite not seeing a meaningful contribution from the DNA sequencing market in the fourth quarter, and experienced roughly 10% decline for the full year. Overall, we're pleased with how we managed through the economic environment and with the strength and resilience of our portfolio. Turning to profit, our fourth quarter GAAP gross margin was 66 million or 41% of sales compared to 64 million or 41% of sales in the fourth quarter of 2018. For the full year of 2019 GAAP gross profit was 262 million or 42% of sales compared to 261 million or 43% of sales in 2018. On a non GAAP basis fourth quarter adjusted gross profit was nearly 70 million or 44% of sales compared to 67 million or 43% of sales in the fourth quarter of 2018. Full year of 2019 adjusted gross profit was 274 million or 44% of sales compared to 272 million or 44% of sales in 2018. For the full year of 2019, our adjusted gross margin was roughly flat compared to 2018. The lack of gross margin expansion was largely impacted by significant growth in our medical consumables product lines which drove unfavorable mix effects during the year. We also faced temporary cost headwinds caused by redundant manufacturing facilities for our NDS business unit as we shifted production from San Jose, California to our Germany facility. The San Jose manufacturing facility is now closed creating a healthy tailwind as we move forward into 2020. Moving on to operating expenses, fourth quarter R&D expenses were 15 million or 9.2% of sales compared to 13 million or 8.5% of sales in the fourth quarter of 2018. For the full year of 2019, R&D expenses were 56 million or 9% of sales compared to 51 million or 8% of sales in2018. As seen in our new product revenue and our design win activity we are making progress with our innovation engine and pipeline. The current economic climate in our view provides the opportunity to take market share and capture significant growth opportunities to drive our growth in 2021 and beyond. Fourth quarter SG&A expenses were 29 million or 18% of sales compared to 28 million or 18% of sales in the fourth quarter of 2018. For the full year of 2019, SG&A expenses were 118 million or 19% of sales compared to 19% of sales in 2018. GAAP operating income was 13 million in the fourth quarter 2019 compared to 16 million in 2018. For the full year of 2019, GAAP operating income was 55 million compared to 71 million in 2018. Non-GAAP operating income in the fourth quarter was 25 million or 16% of sales, compared to 25 million or 16% of sales in the prior year. For the full year 2019, non-GAAP operating income was 100 million or 16% of sales compared 105 million or 17% of sales in 2018. Adjusted EBITDA was 30.5 million in the fourth quarter of 2019 compared to 30.8 million in the fourth quarter of 2018. For the full year 2019, adjusted EBITDA was 121 million compared to 123.8 million in the prior year. Interest expense in the quarter was 2.1 million versus 2.5 million in the prior year. For the full year of 2019, interest expense was 8.5 million compared to 9.8 million 2018. The weighted average interest rate of our senior credit facility was 2.9% for the fourth quarter. On the tax front, our GAAP tax rate was 11% for the full year of 2019 and deferred from the Canadian statutory rate of 29%, driven largely by favorable tax credits and jurisdictional mix of income. On a non-GAAP basis, our tax rate was 16%, which was driven by favorable tax credits in the United States and the UK, and more favorable jurisdictional mix of income. Our GAAP diluted earnings per share were $0.26 in the fourth quarter 2019 compared to diluted earnings per share of $0.33 in the fourth quarter of 2018. For the full year of '19, diluted earnings per share was $1.15 compared to $1.43 in the prior year. On a non GAAP basis adjusted earnings per share was $0.55 in the quarter flat versus the prior year. For the full year of 2019, adjusted EPS was $2.14 compared to $2.15 in the prior year. And we ended 2019 with 35.5 million diluted weighted average shares outstanding. Fourth quarter operating cash flow was 35.4 million compared to 21.9 million in the fourth, fourth quarter of 2018. This result was in line with our expectations as we discussed at our last call, it was mostly driven by timing of networking capital. For the full year of 2019 operating cash flow with 63.2 million compared to 89.6 in 2018. This full year performance, which we also discussed in prior quarters was driven in part by the uptick in inventory an area of focus for us in 2020. We ended 2019 with gross debt of 225 million and our gross leverage ratio was 1.9 times, defined as gross debt divided by rolling 12 months pro forma EBITDA. Our net debt was 146 million as of the end of 2019 or roughly 1.2 times. We continue to build a very healthy acquisition pipeline particularly around our medical end markets. You should continue to expect us to be highly disciplined around maximizing cash flow returns and ensuring future transactions will accelerate our financial goals. Turning into the full year of 2020 there are a lot of exciting aspects of our business where we're seeing momentum building, particularly around new products and design win activity and around our medical business. Prior to the ongoing public health epidemic, which originated in China, we saw industrial capital spending market stabilizing and some early signs of growth returning particularly around 5G infrastructure investments. However, as we stand here today it's clear the coronavirus is going to temporarily delay and disrupt our business in the first quarter. This epidemic is expected to have a temporary impact on our sales of product sold directly to China, which represent just over 10% of our company's total sales. We also expect it to impact our supply chain, specifically product source from China to feed our global factories. And finally, we do expect to see some impact on demand for our non-China based customers due to their own dependencies on the China market. The effects of our supply chain and sales to our non-China based customers are currently expected to be smaller impact at this stage of the epidemic. The consequences of the virus further spreading outside of China is still too early and uncertain for us to estimate if there is any impact. But this is something we are carefully monitoring and currently attempting to mitigate. The effects of the coronavirus outbreak represent our views as of today, based on our current expectations regarding the timing of business resumption on our operations and our customers and our Chinese supply chain. A significant worsening of the situation is currently not anticipated in our guidance. Regardless, we believe this disruption to only be temporarily and that overall, we remain fundamentally strong and well positioned for growth and success in 2020. Consequently, we are not updating our full year guidance, which we issued in January. It is our expectation that the financial weakness we are seeing in the first quarter will be recovered before year end. The first quarter of 2020, we expect GAAP revenue in the range of 144 million to 154 million. This represents an expected year-over-year decline in sales in the range of low to mid-single digits on a reported basis. This weakness in the first quarter is directly correlated to the disruption being caused by the coronavirus outbreak and impact on revenue in the range of 10 million to 15 million at this time. First quarter gross margins are expected to decline roughly 100 basis points from the fourth quarter of 2019. The largest contributor of this is the close of our San Jose manufacturing facility and a slightly better mix of higher margin sales. As mentioned before, we're very excited about our innovation pipeline and therefore expect R&D investments of 15 million to 16 million in the quarter, representing over 10% of sales, but largely due to the drop in revenue. SG&A will climb in the first quarter to around 33 million. The uptick in spending of greater than 1 million is a consequence of higher variable compensation accruals and the seasonality of payroll taxes. Depreciation expense is expected to be close to 3.1 million, while amortization of intangibles is around 5.3 million. First quarter stock based compensation expense will be around 3.2 million. The first quarter 2020 we expect adjusted EBITDA to be in the range of 23 million to 26 million, which should be mid-teens on a percent of sales basis. This lower EBITDA margin is a reflection of the temporary decrease in volumes as we are investing into the headwinds. We expect to be able to recover from this lower profit margin in the first quarter during the remainder of the year. Interest expense is expected to be around 7 million for the full year versus 8.5 million in 2019, as a consequence of both the more favorable terms under our new credit facility and some interest rate arbitrage strategies we've been implementing, where we're trading us borrowing for euro borrowing at a lower interest rate. We expect to see non-GAAP tax rate of about 18% for the full year of 2020 and approximately 15% to 16% for the first quarter. Finally, we expect diluted earnings per share will be around 35.6 million and therefore we expect first quarter of 2020 adjusted earnings per share to be in the range of $0.34 to $0.42. Overall, we feel confident in the ability and strength of our portfolio. Demand is through the temporary disruptions caused by the coronavirus outbreak. Our medical business is continuing a strong growth trajectory with tremendous demand across various products and multiple end markets, which is giving our portfolio resilience. Our design win activity is very strong and our new product introductions are as robust as we've ever seen. In addition, we feel great about the impact of institutionalizing the Novanta growth system across the company to drive sustained growth margin expansion and inventory reductions. An example of our commitment around this is we recently aligned the company's short-term incentive compensation structure around sustainment and improvements in gross margin and reductions in inventory. Despite the health epidemic, we're confident that we are well positioned to deliver on our 2020 financial goals. We are very proud of the performance of our employees and their commitment to helping us weather this difficult environment. We remain excited about our future and look forward to continue to deliver on our commitments for our employees, our customers and our shareholders. This concludes our prepared remarks. We'll now open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Lee Jagoda with CJS Securities.
Q -Lee Jagoda: Good morning.
A - Matthijs Glastra: Hey Lee.
A - Robert Buckley: Hey Lee.
Q -Lee Jagoda: So can we start with all the opportunities you're seeing in terms of new products and maybe give us some detail around the end markets and the product applications that are causing you to accelerate your R&D spend this year?
A - Matthijs Glastra: Yeah. Good morning Lee. I've commented on most of that in my prepared remarks, but let's go one by one. I mean, we see tremendous opportunity in our minimally invasive surgery end markets. I commented that we see opportunity in endoscopy as well as arthroscopy and robotic surgery within our minimally invasive surgery business. So that's a combination of our entire product portfolio in that segment, and that's a multi-year expansion opportunities that we see and I commented that that's roughly a $200 million market, adjacent market opportunity that we're currently not serving. Then in our Photonics segment, I commented that we are accelerating product introductions, particularly around beam delivery, but also in other parts over Photonics segment. So we're basically doubling the product introductions from three to six, six in 2020 that is. And those products will be introduced in the latter part of 2020 and will have more material impact in 2021. And we're basically seeing on the back of these innovations and that's both in Photonics as well as in minimally invasive surgery, extremely active customer engagements right now. And to win kind of slots, they're opening up in the next, say 12 to 24 months. In addition, we see on the back of our acquisitions, I've commented on that they have really – and that's across our entire portfolio. They've really helped to accelerate and rejuvenate our innovation pipeline, particularly around intelligent subsystems, so maybe one other thing to comment on is that we're very excited about the motion control capabilities that we've added last year that we see to be particularly targeted in robotic as well as industrial precision automation segment. So I think all in all, it's a pretty broad based set of opportunities. I think on the Photonic side maybe just to comment on the type of markets I realized I forgot to mention that is a combination of laser additive manufacturing, which is driven by both aerospace as well as medical end markets, rapidly growing market, where we feel we can gain share with our new capabilities micromachining which is building into the trend of automation on the back of laser based production technologies, let's say advanced converting applications, both textile as well as other converting based applications. And finally, an emerging opportunity for us, but obviously very relevant is electric vehicle battery welding. Yeah. So as demand increases in that market, for obvious reasons, more sophisticated production technologies are needed to get the throughput up and a cost per part down and those are typical trends that play into our favor with more precise, let's say technologies. And with the latest edition of both our acquisitions as well as our innovation investments we've made in the past, we are, yeah, we're very excited about playing a more substantial role into those markets.
Q -Lee Jagoda: That's great. And then just focusing in on the one business specifically, I think that business has been growing something in order of magnitude in the 20% range already driven by the adoption of the smoke evacuation stuff.
A - Matthijs Glastra: Yeah.
Q -Lee Jagoda: With further adoption of that, as well as the new market opportunities, how do we size the growth rate, call it from the 20% level over the next several years, does it accelerate from that level or just stay there longer?
A - Matthijs Glastra: Yeah, it's a great question. I mean, we have not specified that Lee, but I think giving you an order of magnitude of a $200 million adjacent additional market opportunity of course, we're not capturing 100% of that market. But it should give you a point of view that we're seeing expansion potential well beyond what we originally thought was possible. I mean, that business has fantastic innovation pipeline, very deep customer relationships and also capabilities that can expand into new markets. So their capability is not only around call it gas management and control, it's also around fluid management and control and, and that plays very well into, for example the arthroscopy market. So basically taking the capabilities, repackaging those and then targeting those capabilities into new markets, building off already strong customer relationships and that's a multi-year trend. And then as you know, medical markets are not moving very fast from kind of introducing new technology. So this you can expect and maybe it is a short answer, sustained growth in this business in the foreseeable future, multi-year.
Q -Lee Jagoda: Okay. And then just one for Robert and I'll hop back in queue. Do you have any goals that you're willing to share on working capital reduction for 2020 and then maybe just touch on the CapEx forecast for this year?
A - Robert Buckley: Yeah, so on the goals, I always find it hard to come out with like what our internal goals are around this stuff when we have not been able to demonstrate the amount of progress that we've wanted to achieve. So we are – what we've decided to do this year, is get a lot more specific around the inventory reduction. So we've deployed a problem solving techniques that we use and tools that we've used as part of the Novanta growth system to attacking inventory and we've deployed some additional corporate resources around that effort to really kind of attacking this in a very methodical discipline type of manner that gets reviewed on a monthly basis. And then to add that extra incentives, historically we've had incentive comp paid on overall networking capital managed and then this year we've decided to get very specific and tie a portion of it to just the inventory because the reality is we've done an excellent job from the inventories and accounts payable side, we've been able to control that more through process and disciplines over at a higher level basis. So now time the individual business units to really managing their inventory and bringing that down. That's a key element of our compensation structure as we get into 2020. So it is the driver of our cash flow going into 2020. So my hope is to get back to the normalized rates of where we were in 2018 as our cash flow conversion as a percent of EBITDA. If you look back at that that would be my desire to get there through that inventory reduction, and that's the biggest lever that we have. Now from a CapEx perspective, we do see CapEx ticking up temporarily in 2020. We've talked about that a little bit in the past. We had exited around $10 million in '19 that has a little bit of investments in facilities, but for the most part was spent on our production capabilities, some of the fit out of tooling and whatnot. This year, in 2020, that's probably going to get close to double, depending upon the timing, somewhere close to $20 million because we have a pretty sizable investment that we're making into a new facility in the UK. That facility is somewhere in the order of magnitude of $8 million to $10 million, so that's a one off that won't repeat thereafter. But it is something that we're expecting to impact us in 2020, as we fit that out and add some capability that I think is – that our competitors, frankly, don't have, and then give us a little bit more scalability in the operations there because we're seeing some nice growth come out of it.
Q -Lee Jagoda: Great, thanks very much.
A - Matthijs Glastra: Yeah, thanks Lee.
Operator: Our next question comes from Richard Eastman with Robert W. Baird.
Q -Richard Eastman: Yes. Good morning.
A - Matthijs Glastra: Good morning Rick.
Q -Richard Eastman: Hey, just a really quick clarification, Robert you had mentioned that the gross margin in the first quarter sequentially would be up or down 100 bps?
A - Robert Buckley: Up a 100 basis points.
Q -Richard Eastman: Okay. Okay, perfect.
A - Robert Buckley: That's a good clarifying question.
Q -Richard Eastman: Yeah, I'm thinking with the OpEx numbers that you tossed out there. It probably had better be up to cover some of that. And then Matthias just a question – a big picture question, as we roll into '20 here, the industrial portion of the business, which I think you said was maybe 45% of sales in '19. You made some reference to stabilization in the fourth quarter, perhaps some momentum, let's just ignore the first quarter here, but some momentum around the semi market, maybe 5G kind of driven. But how do you feel about potentially delivering some growth off of a pretty modest base for the 45% of the businesses industrial in 2020? Do you feel comfortable that we can potentially grow – return to growth there?
A - Matthijs Glastra: Yeah. Yeah, it's a good question, Rick. I mean, listen, I think that remark I made was around the fourth quarter prior to the coronavirus right. So let me be clear with that because it basically – with the coronavirus, a lot is up in the air, quite frankly. So, if you look at the fourth quarter, we saw China bouncing back at 15% on the back of 5G infrastructure and cloud based infrastructure and microelectronics markets in general, right. So and I don't think we have been any different than what other players are seeing quite frankly. So I think that's consistent with what others are seeing and so we saw that as well. And if you look at regionally for example, US was up and Germany was down, rest of Europe was actually doing – was hanging in there, of course anybody's guess what that will be with imminent coronavirus threats coming into Europe at the moment. I would suggest that let's say, yeah, from a Germany perspective, we expect that to be a little lackluster, particularly the first half. I mean, the original kind of idea and view prior to the corona virus is that macro economically the industrial markets would remain subdued in the first half and then we would return back to growth in the second half. It depends on the scope and the length of the coronavirus impact if that's going to change, but that that was the original viewpoint off of our guide and of course we have some modest, but nevertheless some impact of new product introducing in the second half of the year as well that should help that a bit.
Q -Richard Eastman: Okay. Okay. And then just – I just want to follow up with a gross margin question. In the Vision segment of the business now we've got San Jose closed, we've got things – NDS integrated, I think there was a reference to 2 million of savings expected in 2020 there. And so when I look at, in particular within Vision, we've got kind of the self-help initiatives and we got volume growth. We've got the benefits of maybe some of the consumables internalization here later this year. But is 200 plus basis point improvement in gross margin in the Vision segment, pretty much a layup at this point; a right handed layup at this point?
A - Robert Buckley: Yeah. So I would say that the 200 basis points should be fairly easy, right from that perspective. We're obviously trying to drive more and the only real risk in the Vision segment to gross margin expansion is some sort of significant uptick in the medical consumables which create that negative mix effect. Absent that we are really – we have all the actions in place, the teams have all the actions in place and some stuff already done in the consequences of San Jose manufacturing closing down to really drive margin expansion in that segment, so we feel pretty good about that. We feel we got the right sort of levers already pulled to drive the expansion there.
Q -Richard Eastman: Okay. And overall, the adjusted gross margin then, you're still feeling reasonably comfortable around 200 basis points for Novanta? I know we got a little bit of a hurdle here in the first quarter with volumes, but.
A - Robert Buckley: Yeah, so I would say internally we're looking at that second half being 46 plus percent. And I think that really is kind of based upon the first quarter being more of a temporary impact and then starting to recover as we get into the second quarter. Hopefully, people calm down with the flu here and we can get back to business and so that's really the big issue.
Q -Richard Eastman: Got you, okay. Great, thank you again.
A - Robert Buckley: Thanks Rick.
Operator: [Operator Instructions] And our next question will come from Brian Drab with William Blair.
Q -Brian Drab: Hi, good morning. Thanks for taking the questions. Just first, following up on that last question around the one consumables, where are we with the prospect of getting that production and brought in house?
A - Matthijs Glastra: Yeah, so listen and we are tracking there. I think there is like with any multi-year transformational program and initiative there's some pluses and minuses. I think the pluses is that we've significantly strengthened the local teams and these teams are able to drive higher volume out of the existing facilities and infrastructure than we expected. So therefore, the overhead leverage and the productivity out of the factory, our own factory of existing products should actually be better than expected. And that gives us a little bit of time to figure out the best manufacturing footprint. As I commented earlier, we see the growth opportunity in the one business and minimally invasive surgery as well as the adjacent markets, I commented on very bright and as a result, it's important that we properly adjust our capacity and our footprint strategies accordingly with more new products coming in. So I think the short answer is we can get more out of the existing setup and that will drive gradual gross margin expansion. And the real step up in gross margin and step down and cost will happen in a few years. So we think it's around 2022, 2023 when – probably more likely 2023 when we put a more sustainable infrastructure in there, yeah. So what we will use in the meantime, all the aspects of the Novanta growth system to really drive and lean out the existing facility which again it looks more favorable than we initially expected.
Q -Brian Drab: Okay, got it. Thank you. And then just this dynamic of relatively softer than expected first quarter guide given the corona and soft environment, but the maintenance of the full year guide, can you just talked about what drives that and what results in pent up demand rather than demand destruction here and maybe from – if you could just discuss some of the – what you're seeing from some of your customers and are they having to push out their sales to second quarter and then you'll just support them in the second quarter and make up for it? How's that going to play out?
A - Robert Buckley: Yeah, so I want to tack in this a little bit with a tie. So when we look at the – if you look at the sequential or the year-over-year it's 60% of like the magnitude of the drop in I'll talk to EPS is really the coronavirus impact. This is a flow through of that impact and not taking the cost actions. What I would say, we normally would just say, okay, given that there's a reduction in volume let's adjust the variable portion of our cost structure to deal with that. Take the heads out, or furlough them or whatever that might be. We haven't taken that action and the guide in Q1 because we see that opportunity is really being very, very temporary. It's not something that we think is going to be structurally inherent in the business on a go forward basis but last a couple of quarters. When you look at the year-over-year 20% of it is also increasing of the R&D that's going up about a million, million and a half. And then the variable comp element is the other 20% impacting the SG&A line. So that's kind of the walk in the thought process around it. And what are some of the things that give us some positive, Matthijs – or some excitement, as Matthijs talked a little bit about the bookings, he talked a little bit about the design win activity, he talked a little bit about the new product introductions. We did exit the fourth quarter with growth in China and grow in a number of our markets, Germany being really the only one that was really disappointing. And then – but yeah, we're also seeing a significant uptick in the amount of quoting activity even in places like China where people are really looking at their next generation of platforms to drive their own growth in the second half of the year and into 2021. And that was something that we talked a little bit about the last quarter where people were willing to pick their heads up, they are now willing to pick their heads up and that activity is still ongoing. So despite the fact that there is a coronavirus outbreak right now in China, we are still actively quoting even in that marketplace.
A - Matthijs Glastra: Yeah. No, and I can add to that is that so ironically, what you read in the news and what we feel on the ground, in terms of our customer activity in China particularly is very different. So we do see on the back of our capabilities a lot of strong interest. Now, of course, that will start to have more material impact in the second half of the year and in 2021. But we're engaging across the board, across all these applications that I mentioned with the leaders in those segments that are really pulling for innovations. And so then it takes another, let's say, 12 months to work with those customers to really bring or sometimes longer, right, in case of medical, it might take 24 months or longer to bring these innovations to markets with our customers, but the opportunity is now. And so what I commented on in the in the prepared remarks is that, yeah, if you look beyond kind of the call it the short-term noise you see in multiple high growth markets that have structural growth dynamics for the next decade, or plus you see slots opening with leaders that we could do more business with and gain share in the next 24 months and we're acting very decisively and fast. And yeah, that might mean that short-term there – we're forgoing some profit potential, but long-term, we feel that puts the company in a really good position. So that's why we're doing it and then it's anybody's guess, quite frankly. I mean, our views are as of today, in terms of the scope and the length of the coronavirus, it's anybody's guess how long it's going to take. In the meantime, we're going to stay focused on what we can control, be focused on our customers. Our customers are telling us give us more, give us more faster and that's where we're acting on.
Q -Brian Drab: Got it, thank you. Hey, Robert, just to be clear, when you're talking about 60%, 20%, 20% what – you're comparing first quarter '20 to what, to the first quarter of '19. What was the 60%?
A - Robert Buckley: You're right, if you – year-over-year, so take the first quarter of 2020 to the first quarter of '19, 60% of the impact is the coronavirus and then 20% is R&D and 20% is variable comp.
Q -Brian Drab: Yeah. And that variable comp is up year over year materially because?
A - Robert Buckley: We didn't get paid out a bonus last year for all types of purposes.
Q -Brian Drab: Got it, okay. Okay.
A - Robert Buckley: Yeah, if you don't hit your goals, right, your comp goes down. That's how this thing works.
Q -Brian Drab: Yeah, I just didn't know how that plays out through the year if that was accrued through the year and why it was accruing year-over-year markets. It wasn't – I'll take up targets on a detail offline to make sure I've got it. Just one more question for now. So this is going to be – at least the beginning of the year looks to be pretty challenging. And then you've got these – it sounds like some incredible opportunities in front of you that start to be driven by new product introductions later this year and into 2021. And so given the momentum you're going to have entering 2021 and fairly easy comparison, it looks like on 2020, is there any reason why in 2021 you wouldn't grow above this long-term average growth rate expectation of five to seven.
A - Robert Buckley: Yeah, I mean, we're not sitting here commenting on with the 2021 guide because we even don't know what our first half of 2020 baseline is going to be to be perfectly frank, but yeah, I mean, listen, I mean, that's of course, what we were shooting for absolutely and beyond, right. So the new product introduction should have a much more material and significant impact in 2021 and particularly 2022 even. So it's a multi-year impact to the business we feel. And so yeah, I mean, and that's why we're investing because we see the next two years as being – taking control of our destiny by driving more growth through innovation and share gains.
Q -Brian Drab: Okay, and then in terms of the guidance for this year, for the full year, you're not – unless I missed it, you're not making any comment today regarding lower end is more likely or mid points more likely or any update in terms of that range, right.
A - Robert Buckley: I didn't want to get kind of specific around the range. We put a broader range out there knowing that there was some risk back in January and that risk is now materializing maybe a little bit more so than we anticipated. But I think I don't want to kind of get into any sort of updates on high low probabilities and all that.
A - Matthijs Glastra: Yeah. Let's see how this thing further develops and then we can get back with more specifics.
Q -Brian Drab: Yeah, it makes sense. Okay. Thank you very much.
A - Robert Buckley: Thank you, Rob.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Matthijs Glastra for any closing remarks.
End of Q&A:
Matthijs Glastra: Thank you, operator. So to summarize, in the fourth quarter of 2019 Novanta delivered a solid performance in an uncertain macro environment. We're very pleased with our positioning and performance in our medical businesses and proud of the performance and agility of our teams in a weak industrial capital spending environment. Our design win momentum continues to be high. New Product introductions and innovation pipelines are as strong as they've ever been. And Novanta's leadership position across diversified medical and advanced industrial markets, combined with our disciplined approach to M&A is providing a solid foundation for long-term sustainable, profitable growth. While the short-term outlook is uncertain with a health epidemic, we're investing into the headwinds and remain focused on the long-term growth drivers in our business and back to macro trends in industry 4.0, precision medicine and minimally invasive surgery. In closing, I would like to thank our customers, our employees and our shareholders for their ongoing support and particularly grateful for the strong contribution and agility and execution of our teams of committed Novanta employees that are just showing tremendous dedication and agility. We appreciate your interest in the company and your participation in today's call. Very much look forward to joining all of you in several months on our first quarter 2020 earnings call. Thank you very much. This call is now adjourned.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.